Operator: Good day ladies and gentlemen. Welcome to the CAPREIT Fourth Quarter and Year End 2016 Results Conference Call. I would now like to turn the meeting over to Mr. David Mills. Please go ahead Mr. Mills.
David Mills: Thank you very much. Before we begin let me remind everyone that the following discussion may include comments that constitute forward-looking statements about expected future events and the financial and operating results of CAPREIT. Our actual reason may differ materially from these forward-looking statements as such statements are subject to certain risks and uncertainties. Discussions concerning these risk factors the forward-looking statements in the factors and assumptions on which they are based can be found in CAPREIT’s regulatory filings including our Annual Information Form in MD&A which can be obtained at SEDAR.com. I’ll now turn things over to Mr. Scott Cryer our Chief Financial Officer, go ahead Scott
Scott Cryer: Thanks David. First off I just wanted to inform that Tom won’t be able to join the call today. He is still recovering from a recent hip surgery he’d hoped to make the call but had to decline to ensure a quick recovery. So 2016, was another record year for CAPREIT. Driven by continued portfolio growth and very strong operating performance. We are very proud of our results in 2016 and remain confident this growth will continue for years to come. Our record performance in 2016 was once again the result of our focus on our proven growth strategies. A three-pronged approach aimed to capitalize on the strength of the residential rental market and building value for our unit holders. First we continue to expand and diversify our presence in key markets from coast-to-coast in Canada. In 2016 we completed our second major entry into European markets with our first acquisition in the Netherlands. Second our improving Property Management and Cost Control programs are generating stable and sustainable organic growth with 2015 again demonstrating strong growth in our same property NOI. And third we constantly strive to be the landlord of choice in our markets working hard every day to meet the needs of our residents and providing them with safe and comfortable homes. This keeps occupancies high with maximum monthly rent in each of our target markets. These strategies have proven effective over the last 20 years since our IPO in 1997 and we are confident they will continue to generate value for our unit holders for years to come. Looking at slide 5, you can see that 2016 was another great year for CAPREIT with all of our key performance benchmarks up over the prior year. NFFO increased very solid 15.9% and our growth continues to be very accretive as NFFO per unit was up 4.7% despite the 11% increase in the weighted average number of units outstanding. Our NFFO payout ratio also remains strong and highly conservative at 70.9%. Our success in the past and going forward is driven by our ability to generate very strong organic growth combined with accretive acquisitions that serve to strengthen and diversify our property portfolio. Slide 6, outlines our superior operating performance in 2016. With strong and stable occupancies, solid increases in average monthly rents and further growth in our ancillary revenues including parking, laundry, and tenant rentals and other sources of income. Our NOI margin also strengthened in 2016 to 61.5% up from 60.8% last year. This strong operating revenue performance combined with our continued focus on cost and operating efficiencies led to another year of very solid organic growth in 2016 as shown on slide 7. For the year ended December 31, 2016 same property NOI was up 3.3% with a very strong 5.6% increase in same property NOI in the fourth quarter of the year. Our track record of sustainable organic growth is driven by our focus on keeping our buildings full, stable and steady increases in average rents in the relentless focus on operating efficiency and reduced cost. We are confident we can continue to deliver stable and steady growth in same property NOI going forward. The second part of our growth strategy is to continue expanding and diversifying our property portfolio. As you can see on slide 8, in 2016 we added 1984 apartments and MHC sites to our Canadian portfolio achieving our annual target of acquiring between 1500 and 2000 sites and suites per year. Total acquisition cost for a Canadian purchases were CAD317.6 million all of our new properties were immediately accretive with most being purchased well below replacement cost, a key criteria at CAPREIT. Looking ahead we continue to evaluate additional acquisition opportunities both in our current and in new markets and anticipate further strong portfolio growth in the years ahead. Speaking of new markets we were very pleased with our presence in the Dublin, Ireland rental market as detailed on slide 9. In 2016 our asset and property Management fees from IRES totaled CAD5.2 million up from CAD3.3 million in 2015. This steady and stable stream of recurring income should continue to grow as IRES continues to build its presence in the vibrant Dublin market. We also believe our 15.7% retained interest in IRES will generate long-term capital appreciation for our unit holders. Since its founding we have received close to CAD3.5 million in dividends from investment in Dublin and with IRES focused on increasing dividends we expect the source of cash to also grow going forward. And IRES recently announced the declaration of its 2016 dividend which continues to grow as its business matures. As detailed on slide 10 late in 2016 we expanded our presence in Europe with the purchase of 568 apartment suites and town homes and 8 properties in the Netherlands. Four of the properties containing the majority of the portfolio are located in Utrecht the fourth-largest city in the Netherlands located just south of Amsterdam. We initially financed the €65 million purchase with our line of credit and will have replaced the portion of the euro facility financing with a new CAD40.7 million seven-year LIBOR loan carrying an interest rate of approximately 2%. The purchase price generated going in capitalized rate of just under 5% and a significantly below replacement cost. We will be providing property Management services for the new properties exporting our proven programs in the Netherlands as we did in Dublin. We’ve also entered into a general partnership agreement with a highly experienced local real estate investment in asset Management firm to assist in growing our presence in that country. With the current housing shortage in the country and strong demand created by a growing population that favors rental accommodation, we believe we will see solid return as we expand our Netherlands portfolio and bring our proven and scalable property Management programs to our new portfolio. Now moving on to our financial review. As outlined earlier 2016 was another record year for CAPREIT. As shown on slide 12, we continue to benefit from the increase in the size and scale of our property portfolio, as well as our continued strong organic growth. Revenues were up 12% for the year compared to 2015 driving a 13% increase in our NOI, operating expenses improved to 38.5% of revenues from 39.2% last year. NFFO rose 15.9% primarily due to the contribution from acquisitions in our strong operating performance. We also generated solid accretive growth as NFFO per unit was up 4.7% as we continue to be able to quickly in accretively deploy new capital raised. The fourth quarter of 2016 was equally as strong as shown on slide 13. Revenues were up 7% compared to last year’s fourth-quarter and as a result of our proven operating programs NOI increased by 10.2%. Operating expenses improved to 37.7% of revenues from 39.5% last year. NFFO rose 11.6% primarily due to contribution from acquisitions in a strong operating performance. The quarter also demonstrated very solid accretive growth as NFFO per unit was up 4.8%. As we quickly deployed the capital from the 6% increase in weighted average number of units outstanding. As you can see on slide 14 our organic growth is being driven by very strong performance in our stabilized portfolio. With increased average monthly rents in very strong occupancies across all of our demographic sectors and asset types. Looking ahead demand remains strong in a majority of our markets, we see occupancies remaining stable at these nearly full levels and we believe average monthly rents will continue to increase over time. As we discussed over the last few quarters early in 2016 we made a conscious decision to reduce rents in the challenged Alberta and Saskatchewan market, to keep our buildings full and reduce turnovers. As you can see on slide 12 excluding these two regions we are doing very well in all of our other markets. With solid increase in rents both renewals and turnovers particularly in Ontario and BC. While Alberta and Saskatchewan represent only 7.2% of our total NOI we continue to believe in the long-term prospects of these markets. We are seeing some improvements in demand in these regions. For the total portfolio including the Alberta and Saskatchewan markets, we generated a positive 1.8% weighted average increase in AMR on turnovers and renewals in 2016 with a stronger 2.4% rise in the fourth quarter up from 2.1% in the fourth quarter of 2015. Turning to our balance sheet we continue to maintain a strong and flexible financial position as shown on slide 16. With conservative leverage improved coverage ratios and the further reduction in our interest costs. It’s also important to note we have approximately CAD221.6 million of our properties not covered by mortgages at your end. Providing further flexibility to fund our growth investment programs going forward. Looking ahead you can see that our mortgage portfolio remains well-balanced as shown on slide 17. We continue to focus on extending our debt maturities in this low rate environment. With maturities through the end of 2018 representing a smaller portion of portfolio in the next 10 years we believe we have a good balance between top up liquidity and reduced sensitivity to rising interest rates. In addition with 96.6% of our current mortgages being insured we have a large and diverse group of lenders willing to work with us at rates below conventional financing. On the liquidity front we remain well-positioned to continue our growth programs as shown on slide 18. With the completion of our CAD165 million bought deal equity offering in August our liquidity position now stands at approximately CAD275 million providing the resources for future acquisitions of approximately CAD785 million all while maintaining our conservative debt ratios. Looking ahead strong top up potential for 2017 will continue to provide sufficient liquidity and allow us to fund our future CapEx programs and as I mentioned earlier our pool of unencumbered properties represents additional liquidity available for future growth. Most importantly our growth in performance continues to generate strong free cash flow at CAPREIT. As you can see on slide 19 over the last six years our NFFO has more than covered the increasing monthly cash distribution we have delivered to our unit holders. NFFO or distributions declared coupled with our mortgage top ups, we had an excess cash of CAD290 million after paying for capital expenditures. In addition with the cash retained through our drip program of over CAD200 million, we were able to make acquisitions while reducing our leverage during this period. In total you can see that free cash flow available for our portfolio growth has been significant and we see this track record continuing in the years ahead. Summarizing our progress over the last six years as shown on slide 20, you can see the significant growth we have generated has resulted in significant benefits from our unit holders, while at the same time maintaining a very strong and conservative financial position. Compared to the end of 2010, our debt ratio has strengthened considerably and we have taken advantage of low interest rate environment to extend our term to maturity and reduce our interest cost. And all of this has been accomplished with strong accretive growth in our NFFO per unit and a much more conservative payout ratio and solid growth in our monthly cash distributions. As shown on slide 22 we continue to believe we have the right strategy and are in the right business. In 2017 we celebrate our 20th year as a publicly traded REIT and looking ahead, we will continue to execute same proven and tested growth strategies that have generated such growth and success of the last two decades. Demand remains strong in the majority of our markets and we believe this will continue. We will further increase the size and scale of our property portfolio growth in our current in new markets ensuring all acquisitions are accretive to unit holders and purchased below replacement cost. Combined with this portfolio growth our Property Management programs and Cost Control initiatives are all aimed at generating solid and sustainable organic growth, while at the same time ensuring our residents needs are answered and they are provided with safe and secure homes. These programs have generated significant unit holder value over the last 20 years and we are confident this will continue for years to come. As you can see on slide 22 we have generated an build will track record accretive portfolio growth since our inception in 1997 and our growth will continue going forward. Since our IPO our growth has been successfully focused on expanding into new geographic regions diversifying our portfolio to reduce risk and strengthen our presence in all of Canada’s strongest rental markets. We’ve also repositioned the portfolio with an increased emphasis in the higher margin luxury and mid tier demographic segments of the business, while also maintaining a strong presence in the profitable affordable sector. In addition, we have expanded into new asset classes building a growing portfolio of manufactured housing communities that deliver stronger growing cash flows with a reduced risk profile. Recently we have expanded into two new markets in Europe exporting are capable asset Management and improved Property Management programs to these growing new regions. All of these growth initiatives have transformed CAPREIT into Canada’s largest publicly traded residential landlord with a high quality and growing property portfolio in a Management team located in all of our key markets. We will continue to build on this dominant market presence in the years ahead. We are also very proud to have generated a strong track record of accretive growth for our unit holders through both good times and bad. A testament to the strength of the apartment business and our proven property Management program. As you can see on slide 24 CAPREIT has delivered on its main goals to deliver solid, sustainable and growing earnings in distributions to its unit holders with at the same time a conservative payout ratio. We look forward to this growth continuing going forward. And the main reason for our success and accomplishment of the last almost 20 years is the experience and dedication of our people. We believe we have one of the best teams in the business with the right people in the right places to manager growth for years to come. We also worked hard to attract and retain the best through our education and training programs and mentoring initiatives to ensure succession planning for all key positions are in place. Finally as you can see on slide 26 this growth and superior performance continues to generate strong returns for our unit holders. Unit holders who invested in our IPO in November 1997 have received a total return of 1221% to February 24, 2017 and this compares only two 661% for the cap real estate index of 289% for the overall PFX index. We are very proud of everything we’ve accomplished for our unit holders and truly believe this growth and success will continue going forward. As a further demonstration of our commitment to our unit holders we announced yesterday another increase in monthly cash distribution. Our 14th increase since our IPO. Effective with the March 2017 distribution monthly cash distributions will rise CAD10.06 per unit or 1.280 on an annualized basis a very solid 2.4% increase over the current amount. This increase is a result of a remarkable year-end 2016 but more importantly our confidence in our future. We know what it takes to succeed in the apartment business in that we can continue deliver strong returns for our unit holders and years to come. In summary we believe the future is extremely bright at CAPREIT. We have proven our ability to capitalize on continuing strong fundamentals in the Canadian apartment business through all economic cycles. We have one of the strongest balance sheets in the business and fiscal prudence will remain a key priority at CAPREIT. We are very proud of our team, we have the right people in the right positions to manage our growth for years to come. Finally for more than 20 years we’ve demonstrated that our business strategy is succeeding and prospering and we will continue to build on the solid performance generated going forward. Thanks again I’ll now be pleased to answer any questions you may have.
Operator: Thank you, we may now take question [Operator Instructions] The first question is from Jonathan Kelcher with TD Securities. Please go ahead.
Jonathan Kelcher: Thanks good afternoon.
Unidentified Company Representative: Hey Jonathan.
Jonathan Kelcher: First on the strong growth you guys had on turnover in your rental rates. You credit that mostly to BC and Ontario what it VP fair to say that mostly Toronto and Vancouver?
Unidentified Company Representative: I would say generally the province is doing well overall. Those are definitely where the highest level of growth is coming would be in those markets. We’ve seen turnovers in those markets recently in excess of 8% in BC and Ontario has been very strong as you know almost close to 5%. Definitely offsetting a lot of the challenges in Alberta and Saskatchewan. In more meaningful in the quarter we saw a lot of our turnover happen in Alberta in the first couple quarters as opposed to towards the end of the year so that the impact was more meaningful coming out of those markets in Q3 and 4.
Jonathan Kelcher: Okay have those markets continued as strong into Q1?
Unidentified Company Representative: Yes, they seem to continue to be very vibrant from a turnover in renewal point of view.
Jonathan Kelcher: Okay. That’s it for me I’ll turn it back.
Unidentified Company Representative: Thanks Jonathan.
Operator: Thank you, we next question is from Heather Kirk with BMO Capital Markets. Please go ahead.
Heather Kirk: A lot of the improvement was also margin related and I would just like to get your thoughts on what your outlook is for 2017 in terms of the other operating cost line which seems to be the big driver.
Unidentified Company Representative: Yes, I would say probably to key drivers. Definitely we had a strong weather pattern that reduced consumption the combination of our energy-saving initiatives which we have seen consumption dropped as a result of those as you’ll see in our CSO report. Coupled with generally a warmer 2016 has had a positive weather impact on a seasonally adjusted basis. Now January and February continued to seem to be warm and Ontario so we may see that trend in the first quarter but we wouldn’t generally think of that through the rest of the year. The R&M story as well, I would say our run rate on R&M would be lower than our expectations lower than our budget. I think some of that is just what we’re doing in specific markets where they are a little softer and a large degree of that would also be that we have definitely been more aggressive on our spending on the Suite improvement as well as common area renovation. That ultimately meant a little bit less R&M. I definitely wouldn’t – use 2016 as a benchmark of the other expenses will be it’s probably more of the story of where we were for 2014 in 2015.
Heather Kirk: So if I’m understanding correctly we should be expecting the overall spend just on the margin basis to increase? Through 2017?
Unidentified Company Representative: Sorry the overall spend through 2017?
Heather Kirk: I’m just looking at that operating cost exit realty taxes and utilities
Unidentified Company Representative: Yes on a per Suite basis we would have see that not being at the low level was this year I would look back to 2015 probably is a better indicative.
Heather Kirk: Okay and curious to get your outlook on the Quebec market which seems to be doing well this quarter.
Unidentified Company Representative : Yes, I think it seems to be improving which is great so Continued solid stable performance there we have seen some challenges with new build and other things through the first half of the year that seems to I have corrected itself a little bit.
Heather Kirk: And just am turning to the CapEx number how many units are there – you broken it out now in terms of the recent acquisitions and the stabilize I had two questions what’s the split between the units because that it appears that it’s not the same as your same property NOI split and I’m wondering why what the differences between those two stabilized groups.
Unidentified Company Representative: Yes, what we are really trying to do is just given the way our acquisition programs often work we obviously try to deploy the capital where we can as quick as possible on acquisitions. But what we try to do is split out a longer-term view of what is stabilize for CapEx versus how we look at it from a NOI point of view. I’ll get you the numbers on the CapEx side.
Heather Kirk: Great thanks very much.
Unidentified Company Representative : No problem.
Operator: Thank you the next question is form Mike Market is with DesJardins please go ahead.
Mike Market: Thanks and good afternoon so I could get us a little of an extra commentary apologies if I missed it on the driver of the sequential G&A increase.
Unidentified Company Representative: Sure, you’ll note in our MD&A it may be a little bit vary but we – in Q4 we did take some additional provision. A combination of some tenant negotiations I’ll call it as well as something on one of our land leases that were just in debate about interpretation of one of the agreements. For the year, those provisions were about CAD2.3 million of which CAD1.5 million would’ve been booked in Q4 specifically in the rest them kind of through Q1 through Q3. So you do see a spike there for sure specific to those items.
Mike Market: Sorry I just make sure so that CAD1.5 million is specifically the amount that you put in 4Q and you expect that not recur going forward?
Unidentified Company Representative: Correct yes. So it would just be normal G&A level growth. If you back those out and take a normal growth rate of our G&A.
Mike Market: Where there any additional costs with respect to the Netherlands portfolio that might’ve increased that figure as well for impact of the bigger
Unidentified Company Representative: No, nothing really material there’s obviously some structuring costs and – that we don’t capitalize but I wouldn’t say anything material from that point of view and we don’t have a full scale operation on the ground yet so we would expect that to expand a little bit moving forward. But it’s a slightly different model that we are utilizing versus IRES.
Mike Market: Okay. To last ones for me before I turn it back but on Alberta and Saskatchewan obviously only 7% of NOI but it seems like your commentary suggests what you’re demand is stabilizing if not slightly improving their can you just comment on what you’re seeing in the market based on from an acquisition perspective and based on what you are seeing from an operational perspective are you guys increasing your focus on Alberta and Saskatchewan or is there no change there?
Unidentified Company Representative: We haven’t seen anything really enticing from an acquisition point of view to be honest. We are obviously key enough on that market on the long term basis and we would continue to grow the portfolio there if the right deals came. The reality is people are very well-capitalized there so we don’t see a kind of distress and really it’s just – it becomes a pricing decision. As far as the markets are concerned I mean I think there’s obviously mid some positive economic indicators coming out of Alberta in their ability to operate from autonomy point of view. I think we’ve definitely seen what I’ll call the reductions in rent on both Suite turnover and renewal being smaller coming into Q4 than they were at the beginning of the year. So beginning in the year we were definitely seen much more aggressive rental reductions on turnover and then we did have start to have to give away some of the rent and even on the renewals. That was definitely hardest hitting in Q1 and Q2 and we’ve just seen that to although we’re so we are still continue to see rental reduction it is less in the fourth quarter.
Mike Market: Okay. And I just finally with respect to you the amount of your balance sheet that you are prepared to invest outside of Canada, has the Netherlands acquisition change how you guys view that at all or is it still the same limit you talked about before?
Unidentified Company Representative : I think is a very similar story. We want to make sure everyone understands we are focused on the Canadian business and it won’t be a significant component. We would expect a similar type threshold that we would’ve announced around IRES in that we were very quick to move IRES off we will see what the whole period in total exposure is on the Netherlands. And has the ability to grow slightly higher than where IRES we exited but still not a significant portion of our balance sheet.
Mike Market: Okay that’s very helpful thanks I’ll turn it back.
Operator: The next is from Trevor Thompson with Scotia Bank. Please go ahead.
Trevor Thompson: Good afternoon.
Unidentified Company Representative : Hello Trevor.
Trevor Thompson: Just one quick one on my end here. It looks like the expiring rate on your 2017 mortgage maturities moved up about 70 based points from Q3 I was wondering if there’s anything specific that drove it up.
Unidentified Company Representative : Sorry on 2017?
Trevor Thompson: Yes 2017 looks like expiring interest rate is about 4.3% and it was about 3.6% last quarter.
Unidentified Company Representative : I believe it has to do with assumed mortgages. But let me reconfirm that and get back to you.
Trevor Thompson: Okay. Great thanks that’s actually all for me. Thank you.
Unidentified Company Representative : Okay.
Operator: [Operator Instructions] The next question is from Brad Sturges with Industrielle Alliance securities. Please go ahead.
Brad Sturges: Good afternoon.
Unidentified Company Representative : Good afternoon.
Brad Sturges: Just very quickly on the disposition program the last couple of years you’ve been selling call it 500 to 600 units is that still the game plan or the targeted range if you’re looking into this year?
Unidentified Company Representative : I wouldn’t use that as a target specifically. I think definitely with the size of the Montreal acquisitions that happened at the end of 2015 we saw that as an opportunity and that’s where you see some the disposition. We’ve made an announcement of another acquisition in Montreal which is just a very different opportunity from a price point and really operating point of view. It’s a conversion play of a different asset class. We will continue to – we don’t feel like we are at a size where we need to rely on acquisition growth so we are more comfortable making the disposition decision so we will continue to look at our portfolio from that point of view. I wouldn’t judge anything off of that it would just be very opportunistic.
Brad Sturges: And last year Montreal was a focus given the portfolio size is there any weather be any other areas geographies specific that you be looking at or like you said just more opportunistic?
Unidentified Company Representative : Really opportunistic to be honest. Yes.
Brad Sturges: Okay great thank you.
Unidentified Company Representative : No problem.
Operator: The next question is from Matt Kornack with National Bank Financial.
Matt Kornack: Hello, just wanted to know if there’s been any specific progress with regards to the development pipeline other than King Highland?
Unidentified Company Representative : Really where we are is really getting deep into the planning permission and planning stage some assets will move quicker than others but no real updates beyond where we were last quarter other than we are very active with getting in front of the municipalities in trying to get planning permission.
Matt Kornack: Is there in anticipation that at some point this year be an update or what is the time frame and I think the disclosure was something like three years and you’d have a couple thousand units.
Unidentified Company Representative : We will definitely work on hopefully Q1 Q2 to have some type of updates just to give some visibility.
Matt Kornack: Okay. And with regards to the acquisition market in Canada sounds like it’s pretty difficult to source product. Are you finding certain markets where you are able to get more product and I noticed you been adding in Montreal just interested you said it was bit of a challenging market it’s getting better but your expanding the portfolio there. Do you see better prospects ahead?
Unidentified Company Representative : Where we’ve been able to make them happen they are very one off. We are still seeing opportunities everywhere from BC to the East Coast. Deal sizes definitely been smaller and we’ve had to work a little bit higher from that point of view. The large transactions that we were able to hundred million Canadian dollars in Ottawa this year and the bigger ones in 2015 we haven’t seen that kind of deal size so it’s definitely working a little bit harder to find the deals.
Matt Kornack: Okay great. Thanks.
Operator: There are no further questions registered at this time I would like to turn the meeting back over to Mr. Cryer.
Scott Cryer: Thank you again for joining us today. Just want to reiterate we remain very excited about our future and we look forward to keeping you apprised of our progress going forward. As always if you have any questions don’t hesitate to give me a call and thanks again and goodbye.
Operator: Thank you the conference has now ended. Please disconnect your lines at this time and we thank you for your participation.